Operator: Ladies and gentlemen, thank you for standing by. I am Gailey, your Chorus Call operator. Welcome, and thank you for joining the Koc Holding conference call and live webcast to present and discuss the fourth quarter 2025 financial results. At this time, I would like to turn the conference over to Ms. Helin Sinem Celikbilek, IR Coordinator at Koc Holding. Ms. Celikbilek, you may now proceed.
Helin Celikbilek: Thank you. Welcome, and thank you for joining us today for Koc Holdings' Fourth Quarter and Full Year 2025 Earnings Call. This is Helin, IR Coordinator of Koc Holding. And today, I'm joined by our CFO, Polat Sen; our Finance Coordinator, Ozge; our IR Manager, [indiscernible] Ismail, to take you through our presentation and answer questions during the Q&A session. Our presentation covers the company's audited financial results for the year 2025 prepared in accordance with Turkish Accounting and Financial Reporting Standards, including the application of IAS 29 inflation accounting. Please note that our presentation and Q&A session may include forward-looking statements and assumptions based on the current business environment, which are subject to change. As a reminder, a replay of this webcast will be available on our website following the call, and there will be a Q&A session at the end of the call. With that, I'd like to hand the call to Polat-Bey to begin the presentation.
Polat Sen: Welcome, everyone. I'd like to begin with a brief overview of the macroeconomic backdrop that we defined in our group's operating environment in '25. The year was marked by heightened uncertainty and volatility shaped by ongoing geopolitical conflicts and shifts in global trade policies. Despite these headwinds, global economic activity remained broadly resilient. In Turkey, this inflation process continued with an annual inflation falling from 44.4% in 2024 to 30.9% in '25, while delivering a 3.7% economic growth in the first 9 months. Throughout 2025, market interest rates were higher than what was anticipated at the beginning of the year. Industrial production remained subdued throughout the year, yet the drag of high interest rates on the domestic demand proved more limited than anticipated. In this challenging environment, our strong operational discipline and balanced approach supported healthy financial performance. As we show on Slide 5, our combined operating profit was up by approximately 9%, reaching TRY 155.5 billion in 2025. On a consolidated basis, we generated TRY 22 billion net income in '25, significantly higher compared to last year's TRY 1.7 billion. Automotive segment remained the largest contributor with TRY 17.7 billion, followed by the Energy segment with TRY 13.4 billion. Financial Services segment delivered a notable year-on-year improvement, while the Consumer Durables segment continued to face pressure amid soft demand and tight liquidity conditions. Zooming into the fourth quarter of 2025, we recorded a consolidated net income of TRY 7 billion compared to TRY 8 billion loss in the same period of last year. On Slide 6, the chart on the left shows the sectoral breakdown of the net asset value of our diversified business portfolio at the year-end. Our portfolio diversification is not limited to -- limited only to sectors, but also includes international positioning. On a combined basis, we generated 31% of revenues from international sales in 2025. Including Tupras, which operates as an FX-linked commodity business, roughly 46% of our revenues can be considered hard currency based. Moving on to Slide 7. You can see that we had a net cash position of $815 million at the holding level at the end of the year. In 2025, our dividend income in nominal terms amounted to approximately TRY 33.4 billion, having distributed TRY 17.5 billion in dividends in the second quarter and other net cash outflows of TRY 13.1 billion. We end the year at TRY 34.9 billion net cash level. On Slide 8, you can see the main pillars of our balance sheet. Around 69% of $815 million net cash position is in hard currency. As we already disclosed in mid-October 2025, we secured a 5-year club loan of $600 million to further strengthen our liquidity. The funding remains available. And as of today, we plan to draw down this facility before the April deadline. We strictly apply and regularly monitor our prudent risk management policies at each underlying company on a combined basis. In terms of liquidity, leverage and foreign exchange position, we preserved our conservative levels. On a combined basis, our current ratio is 1.2x, and our net financial debt to EBITDA, excluding the finance segment, is 1.2x. In terms of FX position, we remain well within our risk management rules. With that, I'll hand over to Helin to walk you through the key sectoral developments of 2025.
Helin Celikbilek: Thank you. Let's begin with the energy sector on Slide 10. The Energy segment's contribution to our consolidated net income was at around TRY 13 billion in 2025, up from TRY 9.2 billion a year ago. In 2025, global energy markets were pressured by political tensions, expanded sanctions and refinery outages, creating supply volatility. Crack margins trended higher overall on strong demand, while crude differentials narrowed even as OPEC+ increased production due to ongoing geopolitical constraints. Turkey's fuel demand was robust. Based on 11 months of data, gasoline demand rose 16% and jet fuel demand 15%, while diesel demand increased 3% over the same period. In this environment, Tupras operated resiliently, maintaining high utilization and capturing margin opportunities while advancing its strategic transformation. With approximately 94% capacity utilization rate, Tupras total sales volume was 29.4 million tonnes. In this supportive demand environment, Tupras delivered robust operational and financial results, beating its net refinery margin guidance. On the LPG side, domestic demand remained soft in January, November 2025 period with total consumption declining by 5% year-on-year. Despite the weak market backdrop, Aygaz delivered stable domestic retail sales volume year-on-year. And including wholesale and the sales in Bangladesh, total sales volume grew by 1% in 2025. During this period, Aygaz preserved its market-leading position in Turkey with a 26.2% overall market share. Let's move to Slide 11 and discuss the developments in the auto segment. The auto segment remains the highest contributor to consolidated net income. Despite solid volume growth, profitability in this segment is slightly lower compared to last year, mainly due to an intense competitive pricing environment, composition of sales and higher cost of goods sold amid inflationary pressures. In 2025, the domestic automotive market grew by 11% to reach a new record of 1.4 million units contrary to initial expectations. And this strong volume growth was mainly driven by an intense competitive environment, shifting macro conditions, wild effect through surge in gold prices and strong interest income as well as improved vehicle availability. Ford Otosan produced 32% of Turkey total vehicles and 83% of its commercial vehicles, while Tofas produced around 9%. Our group total share of the domestic market was at around 30%. On the export side, the European passenger car market grew modestly by 2%, whereas the commercial vehicle market declined by 8%, reflecting ongoing economic pressures and last year's high base. Our group market share in the exports increased around 6 percentage points to 43%. In 2025, looking at Ford Otosan, its export volume increased by 10% year-on-year, representing 38% of Turkey's total vehicle exports. With Ford Otosan nearing the end of its intensive investment cycle, its CapEx is set to normalize, supporting a more balanced and resilient cash profile, while financial and operational performance is anticipated to remain broadly consistent with last year. Tofas exports volume also increased by 41%, mainly with the ramp-up of K0 model. Tofas expects an acceleration in volumes in 2026 under the amended K0 production contract. 2025 was a pivotal year for Tofas with several milestones. The successful acquisition of Stellantis Turkey marked a major strategic step, firmly solidifying Tofas position in the Turkish automotive market. The company also advanced meaningfully towards full utilization of its production capacity. New investments are underway and supporting upcoming model launches. Strengthening of the product portfolio sets the stage for solid volume growth ahead for Tofas. TurkTraktor revenues declined 39% year-over-year, mainly driven by a 41% contraction in tractor sales volume, reflecting a weak demand in both domestic and international markets. The domestic tractor market contracted 36% in 2025, mainly due to favorable -- unfavorable climate conditions and tight liquidity. In 2026, TurkTraktor aims to strengthen its market share in what is expected to be a flat volume market, supported by a more balanced competitive landscape following the phaseout of Stage 3 models across the industry. Otokar, our leading bus and defense company, registered 18% revenue growth year-on-year. Defense vehicle revenue share rose to 27%, up by 11 percentage points. 66% of revenue was from international sales. Otokar continued armed vehicle deliveries under its existing contract in Romania and advanced preparations for local manufacturing. To strengthen its position, Otokar recently initiated the acquisition of its local partner in Romania. And in 2026, Otokar will also focus on the planned production of Mercedes-Benz Conecto city bus, part of its previously announced 3-year agreement with Daimler, and this will support Otokar's efficiency and global reach. On Slide 12, let's look at the Consumer Durables segment. The Consumer Durables segment faced headwinds in 2025 with performance pressured by subdued demand, a challenging market environment and intensifying competitive dynamics. In Turkey, white goods unit sales contracted by 3% year-on-year, reflecting tight financing conditions, while exports declined by 10% over the same period with a weak external demand and a more competitive European market. Looking at Arcelik performance, Turkey revenues declined by 6.6% year-on-year in an unfavorable price and product mix despite the moderate demand in the second half. International revenues, consisting 68% of the total, also declined at the same level of 6.6%. With disciplined execution, Arcelik delivered notable improvements in gross margin, EBITDA margin in the full year and EUR 5.7 billion free cash flow generation that reversed last year's significant free cash flow negative. Despite the transition year marked by a post-merger integration in Europe, Arcelik maintained its leadership while strengthening the balance sheet and remaining within covenant limits. Lastly, a few words on the finance segment with a particular focus on Yapi Kredi on Slide 13. The finance segment's contribution to our net consolidated income was negative around TRY 0.6 billion in 2025, which significantly improved compared to negative TRY 20.5 billion in 2024. As we always highlight, we consolidated Yapi Kredi's inflation-adjusted financials, which means its bottom line includes monetary losses from its monetary position, although the impact this year is much lower compared to last year. In this presentation, however, references to Yapi Kredi's KPIs are based on BRSA financials, consistent with the bank's disclosures where banks remain exempt from inflation accounting. Yapi Kredi maintained solid operational momentum supported by disciplined asset liability management, prudent deposit pricing strategies, a broad customer base and extensive franchise network. The bank's total performing cash loan growth was around 45% and total customer deposit growth was at 44% on a year-on-year basis. The bank maintained its leadership position in Turkish lira demand deposits among private banks with a 17.2% market share. Swap adjusted net interest margin expanded by 151 basis points in 2025 supported by ongoing policy rate cuts and effective asset liability management, ending the year at 2.24%. Net fee and commission income growth was robust at 50% year-on-year, driven by a pretty strong customer franchise and diversification initiatives. Fee generation remained a strong natural hedge, covering 94% of operating costs. On asset quality, total coverage remained solid at 3.9% in 2025, reflecting continued prudent provisioning. Net cumulative cost of risk, including currency hedge, stood at 167 basis points within guidance range. Yapi Kredi preserved its strength in capital and liquidity ratios. The consolidated capital adequacy ratio stood at 14.8% and the Tier 1 ratio stood at 11.8%, both comfortably above the regulatory thresholds. In 2025, the bank delivered tangible return on equity of 21.4% and return on assets at 1.5% on a reported basis. With that, I'd like to hand the floor back to Polat-Bey.
Polat Sen: On Slide 14, you'll see the snapshot of our group's financial performance on a segment basis. To recap of what I outlined at the start of the call, on a combined basis, Koc Group registered TRY 4.6 trillion revenues, TRY 155.5 billion in operating profit and TRY 124.5 billion in profit before tax. Our consolidated net income of TRY 22 billion was substantially higher than -- higher compared to last year on the back of improvement at the operating profit level and a significant decline in the net monetary gain/loss position. On Slide 16, I'd like to briefly talk about some of our unlisted companies. Otokoc is the largest contribution to our NAV among our unlisted assets. It is Turkey's leading automotive retailing and car leasing company, ranking #1 in secondhand sales among corporate brands. With operations in 9 countries abroad, Otokoc's Avis Budget Group's largest licensee and key international investment partner. OPEC is a major player in Turkey's fuel distribution sector, operating 1,965 stations nationwide, Opet holds 19.3% market share in white products. Aligned with Tupras' strategic transformation plan, Entek is pursuing growth in renewable energy, both in Turkey and abroad. Today, 77% of Entek's 492 megawatts total installed capacity is carbon zero electricity. Construction of 178.5 megawatts solar power plant in Romania commenced in Q4 2025. Koc Finansman is another unlisted company operating as a leading player in the finance sector with total assets of TRY 55.5 billion. The company's loan portfolio increased by 79% to TRY 49 billion in 2025, while its net profit grew by 52% to TRY 1.5 billion. Considering our Marina operations in 2025, we expanded our portfolio with the inclusion of Gocek Village Port Marina and Gocek Exclusive Port Marina. This acquisition must further strengthen our position in Turkey's maritime tourism sector. With a total of 12 marinas, we hold a 24% market share in Turkey based on total capacity. We also have operations in commercial and naval vessel building and ongoing investments in super yacht building. On Slide 18, you will see the evolution of net asset value discount. At Koc Holding, we leverage our long-standing status as a market proxy, which makes our valuation, a meaningful barometer of broader market sentiment. Consistent with this dynamic, our NAV discount has historically narrowed during periods of improved risk appetite from the foreign investors. In 2025, we -- the weekly average NAV discount stood at 34%, noticeably wider than our long-term average of approximately 14%. We believe that the current level of discount is not aligned with the fundamentals of our portfolio and does not adequately reflect the resilience and strength of our underlying operating businesses. In summary, we have left behind a volatile year with solid standing demonstrating the strength of our financial discipline and operational resilience. As we prepare to celebrate our 100th year of establishment, we remain committed to sustaining strong profitability, reinforcing our balance sheet and leveraging the resilience provided by our diversified portfolio. Thank you for listening, and now we can open the floor for questions.
Operator: The first question is from the line of Kilickiran Hanzade with JPMorgan.
Hanzade Kilickiran: I just want to make a follow-up on your solo net cash position. In the third quarter, you have shown around $890 million solo net cash position plus around $290 million projected dividend inflows that are secured from Ford and Tofas [Foreign Language]. So you were supposed to end the year roughly $1.2 billion cash position. And you made some payment for Arcelik. But there is some extra cash spent during this period. Did you do any other acquisitions that maybe I may miss it? I'm trying to understand because around $360 million cash seems to be burned in the fourth quarter. And I try to understand why you spend this money other than Arcelik acquisition.
Polat Sen: Yes. For -- if you can look at the other years as well, you can see that most of the cash outflow that we have is the Q4, mainly because of the OpEx that we have in terms of cash because of the year-end bonuses mainly. So that's one reason. But the remainder, we have had some capital increases in some smaller assets that we have. Maybe you remember, we have Mares, Talya Hotel in Antalya. We have increased some capital for that. And I can't remember exactly which ones right now, but some smaller ticket sizes also have contributed to this decrease of the cash that we have. And also, we have paid for Gocek Marinas. I think that was in Q4 as well. So that should make the difference clear for you.
Hanzade Kilickiran: And I mean, how are you going to spend this new $600 million that? I mean, do you have any plans to invest it into somewhere else? Or you just want to keep it for a liquidity perspective?
Polat Sen: It's not earmarked for anything right now. That was the plan from the beginning. And we are mainly keeping it for any possible acquisitions that may come up because when the time comes, you need the money. So our appetite for acquisition on M&A market is still there. We are looking for targets that would really fit to our expectations. So -- and this amount, the EUR 600 million is needed for that. And also, we are always keeping a war chest, as you know, as positive net cash on our balance sheet for a long time, because going through turbulent times, this cash is keeping us safe from any ups and downs, let me say. So most probably, there will be waiting on our balance sheet until we find the right target to spend it for.
Hanzade Kilickiran: Okay. And final stuff, sorry for asking too many questions. But you can't get any further Arcelik shares, right? You reached the level, the limit now on Arcelik. Is it true? Because Arcelik still has some shares on their balance sheet. So if they want it, can they sell it to you?
Polat Sen: Yes, of course, if they want, they can sell it to us.
Hanzade Kilickiran: Yes, you can still buy it if...
Polat Sen: They can sell it to the market as well. We just decided to go with 7%. So there's always the opportunity to do that. But we don't have any intentions right now to buy further shares from Arcelik.
Operator: Ladies and gentlemen, there are no further audio questions at this time. We will now move on to written questions from our webcast participants. And it is from with [indiscernible]. And I quote, "Thank you for the presentation. Given the structural global and local changes anticipated over the next 10 years, how resilient and well positioned is your current portfolio? In terms of potential portfolio diversification, which sectors and business lines should be our primary focus?"
Polat Sen: We do not have specific sectors. We are more interested in the dynamics of the dividend distribution, cash conversion, EBITDA level kind of metrics. And of course, we always have this DNA of manufacturing. So we are looking at manufacturing assets more than service assets, but that doesn't mean that if we find the right target with the right metrics that we are looking for, we would be interested in that one as well. So some of the sectors are standing out as high cash conversion, high EBITDA, et cetera. So we are looking at those. But I don't want to give any names specifically right now because it can really change because there are numerous amount of different sectors that we may be interested in.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to management for any closing comments. Thank you.
Polat Sen: Thank you very much for all who is attending. If you have any more further questions, you can always contact our IR team. Thank you. Good evening.